Jens Geissler: Thank you. Good morning, everyone. I would like to welcome you to Beiersdorf's first quarter conference call. This is Jens Geissler. I have our CEO, Stefan Heidenreich; and our CFO, Jesper Andersen, with me this morning. We would like to share with you Beiersdorf's business results of the first three months of 2018. We will start with a brief presentation, which you can access through the link in your invitation, followed by Q&A. [Operator Instructions] I will now hand over to Stefan Heidenreich.
Stefan Heidenreich: Good morning, ladies and gentlemen, and a warm welcome from my colleague Jesper Andersen and me. We appreciate your interest in our Company's performance over the first three months of 2018. Following an overview of the results for the first quarter, we will give you an outlook for the coming months. Beiersdorf made further impressive progress on its profitable growth path in the first quarter of 2018. Both business segments, Consumer and Tesa, delivered very dynamic performance and sales growth well above the market. These significant growth rates once again demonstrate Beiersdorf's strong international position and high level of competitiveness. Our continued success results from strengthening our brand, accelerating our innovations and systematically extending our business activities in emerging markets. Despite the current political and economic uncertainties throughout some regions, we are optimistic about the coming months and therefore confirm our full-year guidance. Our results in detail. We increased organic group sales by a strong 6.5% in the first quarter. As a result of negative exchange rate effects caused by the strong euro, nominal sales grew stood at 0.4%. Sales increased from €1.801 billion in the previous year to €1.807 billion. Tesa. Tesa performed extremely well in the first quarter, starting the new financial year with a boost in sales of 8.5%. Sales were up 3.6% in nominal terms from €317 million to €329 million. Consumer. The Consumer Business segment ended the first quarter with a remarkable growth rate. Organic sales growth in the first three months reached a new record of 6.1%, far outperforming the market. At €1.478 billion, nominal sales were down 0.3% on the prior-year figure of €1.484 billion due to negative exchange rate effects. Almost all core brands contributed to sales growth. NIVEA sales were up 1.9%. The derma business unit, including the Eucerin and Aquaphor brands, finished the first quarter with a strong increase in sales of 8.5%. Sales of healthcare, including the Hansaplast and Elastoplast brands, were down 2.7% on the previous year. Following its very healthy performance of 2017, La Prairie once again achieved a substantial growth rate with an impressive 55.5%. Growth in the regions varied. Organic sales growth in Europe region grew by 4.3%. In Western Europe, we increased sales by 4.2%. In Eastern Europe, we generated sales growth of 4.5% in the first quarter. Sales in the Americas rose by 1.6%. In North America, we experienced strong growth, with organic sales growth of 8.3%. In Latin America, sales were down 3.4% on the prior year figure due to difficult broader political and economic conditions in Argentina and Brazil. Beiersdorf achieved a strong sales increase of 11.9% in the Africa/Asia/Australia region. To sum up, Beiersdorf has made a tremendous start to the financial year 2018, with growth rates far outperforming the market. The strategic assets of our proven business model over many years are: number one, strengthening our brand; number two, accelerating our capacity and speed of innovation; number three, expanding our footprint in the emerging markets; and number four, increasing our efficiency. We have expanded the strategy to incorporate additional important roads for future success. Point five, with Blue & Beyond, we intend to leverage the [indiscernible] of Eucerin, Hansaplast and La Prairie. And point six, further increasing our efforts of digitalization in our company will help us in securing and extending our leading position in skincare far into the future. I will give you a little bit more details to these points. To brands, strengthening our international renowned brands is our core mission and crucial to our commercial success. Every day, we face the new challenge of continuing to fulfill our consumers' highest expectation. With that in mind, we recently launched our complete range of NIVEA aerosol spray deodorants for women, with improved functionality and an attractive modern design. The feminine shape of the new aerosol spray container is both simple and elegant, while the click lock top makes it much easier to use. These new features were well received by the consumers. To innovations, further. During the first quarter, we successfully expanded the NIVEA Sun product category with NIVEA SUN UV Face. This product innovation provides highly effective and long-lasting protection against UVA and UVB rays, in addition to moisturizing the skin. NIVEA Sun UV Face is off to an excellent start in the market. We launched a fresh approach to the NIVEA MEN category with the NIVEA MEN deep skin care product range, targeted mainly at younger consumers. The new product line features activated charcoal as an ingredient and uses effective absorption properties. It cleanses skin's impurities with removing dirt and excess oil. The product line has captured consumer attention in the markets with an attractive modern design. At this point, I don't want to miss the opportunities to send my best wishes to NIVEA's international brand ambassadors, Real Madrid and FC Liverpool. These two football clubs will compete against each other in the Champions League finals on May 26. One thing we know for sure already, NIVEA MEN will be on the winning side, so I'd say, with all due to the respect of fairness and sport, may the better team win. To emerging markets, ladies and gentlemen, Beiersdorf's strength over the past year is conservatively linked to our extending presence in emerging market. We aim to further establish and extend regional research and production sites. In this respect, we have added another affiliate in Egypt to our global network in early 2018. In efficiency. Efficiency and flexibility are key to our company's success. During the first quarter of 2018, we focused on the continuous improvement of our cost structures and managed to further reduce working capital. To Blue & Beyond. With our strategic focus, Blue & Beyond, we intend to make Eucerin, Hansaplast and La Prairie just as commercially successful as our iconic NIVEA brand. The first quarter results clearly demonstrate that we can accelerate our business success pursuing this new strategic direction. A prime example of this is La Prairie, which achieved a tremendous boost in sales of over 55% in the first quarter 2018, also as the result of highly, highly innovative products. In addition to the Skin Caviar Collection, the growth driver for the White Caviar product range was successfully extended for several innovations, Platinum Rare Cellular Night Elixir, a very technology-sophisticated new serum was also launched. This serum reduces the visible signs of aging, rejuvenates the skin and promotes the regeneration process. Eucerin also substantially increased its sales. The new Eucerin demo product range has been especially successful. This skincare series for acne-prone facial skin reduces impurities at a deep level and provides a long-lasting effect. At the same time, it prevents the development of new blemishes. Furthermore, the digital marketing of this product series was launched as a part of digital campaign in over 30 countries. This marketing offensive features special apps and videos on YouTube and Facebook and is very successful. To digitalization. Ladies and gentlemen, the further acceleration of digitalization throughout the company is a key to ensuring our company's future success. That is why this topic is at the heart of Beiersdorf business activities. We focus on: one, expanding our digital marketing activities; two, investing in digital technologies; three, creating new research and development application; four, expanding e-commerce; and fifth, improving the digital experience of our employees. To digital marketing. We continuously intensify our digital marketing efforts in the level of direct communication with consumers. Through digital marketing channels, we provide customized service on skincare, create personal trusting relationship with consumers, and spark their interest for Beiersdorf and our highly attractive product portfolio. Digital technologies. Amidst the growing success regarding the use of new technology in our company, we are continuously increasing our investment in this area. We are investing in projects such as those involved artificial intelligence and voice assistance. Furthermore, we have entered into a partnership with leading international companies and start-ups in these initiatives. To research and development application. To give you an example, through the use of VR glasses, we are able to visualize how our product work on different layers of the skin with a factor of 2,500 times. E-commerce. We are driving the ongoing international expansion of e-commerce. An example of this is e-commerce in China, an important growth factor for Beiersdorf. Here, we established very successful collaboration with operators of strategic platforms, Alibaba and jd.com. This has resulted in various benefits, such as the fact that we now have access to 650 million consumers in China. To digital skills of employees. The digitalization process can only succeed if Beiersdorf's employees has the necessary digital expertise. Beiersdorf offers its employees extensive opportunities for advanced training in this area. This improves opportunities at the digital campus that we established last year. To the guidance. Ladies and gentlemen, I would like to conclude my comments with the guidance for the financial year 2018. The global economy is likely to keep growing in the coming months. Nonetheless, there are risks arising from political and economic uncertainties in some regions. That said, we at Beiersdorf are overall cautiously optimistic about the coming months. Our growth expectation for 2018 are as follows. In the Consumer Business segment, we anticipate sales growth will outperform the market at 4% to 5%, with slight increase in EBIT margin from operation versus the previous year. For tesa, we anticipate sales growth of 3% to 4%, with an EBIT margin from operations slightly below the prior year figure. Based on the forecast for the two business segment, we expect group sales growth of approximately 4%, with a consolidated EBIT margin from operations at prior year level. Ladies and gentlemen, you are already aware that my colleague, Jesper Andersen, will leave Beiersdorf in just a few weeks. Today is our last financial call together for Beiersdorf. I would therefore like to take this opportunity to sincerely thank Jesper for his professional and very successful accomplishment as CFO at Beiersdorf over the past years. Jesper, he has been a major contributor to the sustained profitability growth of our company. Thank you. We will continue these efforts as of July 1 this year with Dessi Temperley, the future CFO at Beiersdorf. We welcome Dessi as a new member of our Executive Board. Ladies and gentlemen, thank you for your attention.
Jens Geissler: Thank you. We will now start the Q&A session.
Operator: Ladies and gentlemen, at this time we'll begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Guillaume Delmas of BAML.
Guillaume Delmas: Good morning, gentlemen. Two questions for me. The first one is on La Prairie and the 55% organic sales growth. Not such an unusual number for this earnings season. We've seen equally strong numbers from some of your competitors in premium skincare. But it's relatively unusual for La Prairie. Even last year was only 10%. And my understanding was always that this is a conscious decision from you to keep La Prairie as exclusive as possible. So what happened in Q1 above and beyond the innovations you mentioned? Any major price increases or maybe a decision to push volumes a little bit more aggressively than you've done in the past? And then, my second question is on Latin America, a very soft quarter for LatAm for Consumer. I imagine Brazil is once again the main reason for this weak start to the year. Nothing new here, but what are you seeing there, because some of your competitors were slightly more constructive on Brazil for Q1, at least from a volume growth standpoint. So is it still down to soft category growth, maybe some deflationary pressures or is it also exacerbated by local competition?
Stefan Heidenreich: Okay. Good morning, Guillaume. On La Prairie, I mean, most important, you know me since seven, eight years. You've seen the NIVEA brand, everything. I mean there is definitely no change in the direction of keeping La Prairie the most exclusive skincare in the world. There's no change. I think we are benefiting from a number of things. We've seen already - you mentioned that the market is on fire. You saw the numbers from our competitor, Estée Lauder, with at least one line - we can compare ourselves. They're also on fire. We're doing better than that for a number of reasons. We have, since last year introduced a new in-store concept, which works extremely nice. We have launched several innovations, which all of them hit big time the market. Two of them well above the €1,000 price line, so there is also a pricing effect in there. On top of that, Asia, we expanded footprint on many airports in the travel retail arena, et cetera. So it is doing extremely well. And since I'm also seeing more than what you see, it's also seemed to work for a while. So we have to see how the strength goes on. But at the very moment, very, very nice trend, and we're happy with that. And by no means, we want to risk our position, our exclusive position by then.
Jesper Andersen: Yes. And maybe on LatAm, let me just start there. So just to remind you that, here at Beiersdorf, we take the conservative approach in regards to Argentina. So we do apply the actual exchange rates and not constant rates, as some of our competitors are doing. However, if I did use constant rates, then the LatAm performance would have been a plus 1.4% and not a minus 3.4%. So it is a material impact for us. And even on the group, total consumer, it has a 50 basis points impact, so instead of the 6.1, we would have been 6.6, actually. And even on NIVEA, instead of 1.9, we would have been 2.5. So that's all driven by the approach that we have on Argentina, which I think is an appropriate conservative approach on our side.
Stefan Heidenreich: Right. So Brazil, I was just visiting Brazil. I think we are coming later anyhow to the mass business. We had, in the first three months, it's very worth to mention, a big change in deo, in the deodorant sector. We changed to that wonderful new feminine shape. We're seeing the first result. The first weeks, they are outstanding. We believe this is really innovative design paired with high new functionality. Just less in the first three months on our biggest category, because in many markets, we had half, [indiscernible] just going from the old packaging to the new launches to a relatively low deo number, pretty flat, which is unusual for us. But as of April, things are changing, and that will also have a major benefit in Brazil coming up. So I'm much more beat up for Brazil in the months to come. Argentina, as said I mean, it's purely exchange. The rest of the business looks good. So I think, overall, looking forward, I'm seeing some signs of light in Latin America.
Jens Geissler: Thank you.
Operator: The next question comes from the line of Fulvio Cazzol of Goldman Sachs.
Fulvio Cazzol: Yes, good morning and thank you for taking my questions. My first question is on NIVEA. I was just wondering, for the full-year, I guess overall the start seemed to be a little bit slower than what we would have anticipated. Do you think that the brand has scope to accelerate as 2018 unfolds, just given the innovation pipeline? I know that there's a lot going on, a lot of rollouts going on. So do you think that it could get better as 2018 unfolds? And my second question is on tesa. I was just wondering, why did you not take the opportunity to change your guidance for the year. It seems you made a really strong start to 2018, and your guidance midpoint implies less than [3%] organic growth for the last nine months of the year. So I was just wondering if you can give a bit of color there as well.
Stefan Heidenreich: Happy to do that on NIVEA. And then, Jesper will take the tesa question. I have no issues whatsoever with NIVEA at the moment. As I said, a big effect is deo, which we just started new [indiscernible] in April. I can only say awesome. Innovations are coming in quarter two, a hell of a lot in the sectors. Then on top, the sun is shining in Europe. We're very happy with that. I mean, we are coming to the most important weekends in the year, particularly this weekend and the weekend after. We have a lot of innovation. On top of that, two of my clubs, the NIVEA MEN club are in the final and that will boost sales in China and Brazil. So don't worry about NIVEA. I'm very, very optimistic there.
Jesper Andersen: And on tesa, of course, we are - it's very pleasing, strong encouraging start from tesa at 8.5% growth in the first quarter. And it's really - continues to be a strong delivery in Asia, Americas, driven by electronics and the automotive industry. And we're very pleased with this start. However, we remain a little bit cautious. As it's still early in the year, we have some high comps for the year, for the rest of the year versus last year. And it remains to be seen how the consumer electronic market will develop. So for us, it's a little bit early to draw the conclusion of a great first quarter, but we are very pleased with the start.
Fulvio Cazzol: Thank you.
Operator: The next question comes from the line of Richard Taylor of Morgan Stanley. Please go ahead.
Richard Taylor: First of all, a big thank you to Jesper, and I just want to wish you very well for the future. And then, secondly, welcome to Dessi, and congratulations on the new role. So two questions from me, the first one, just a simple one I would like your comments on the current pricing environment. I think you said back at the Q4, there were still some negative pricing, so maybe you could just update us on that. And then the second one, La Prairie, obviously extraordinary growth and really a follow-up to the earlier question of in terms of how you see the picture for La Prairie playing out for the rest of the year. 55% growth, I'm sure is not where you're expecting it to stay for the rest of the year, but maybe you could give us a little bit of color on your expectations there?
Jesper Andersen: Maybe I'll start with the pricing side. So as we saw and correctly, as we said at the end of last year, 2017 was very much volume-driven. We've seen the same thing in Q1. It is volume-driven growth. While we are able to take pricing in the developed markets, and we've seen that and we are planning for that, pricing in Western Europe is challenging, and it remains challenging for us. And that is one of the areas that we keep working on. So it has not materially changed since the position we saw at the end of last year. On La Prairie, Richard, as I said it is on fire at the moment, there is no doubt. Again, it is, to a large part, also the market, then on top of that, we have the innovation, the in-store presence, the retail, et cetera. Is it continuing for the moment, from what we're seeing, it looks extremely good. But again, as what my competitor also said, we're all not aware how long that trend is going to keep because it's definitely very [unreal] and very positive trend in the selective industry at the moment. And as long as that holds, I think the trend will continue, but I'm not too, let's say, how do I say it, I can't look into that really. It is an unusual trend, which we see throughout the industry, and we have to see how long that remains.
Jens Geissler: Okay.
Operator: The next question comes from the line of Marion Boucheron of Raymond James. Please go ahead.
Marion Boucheron: Another follow-up on La Prairie, I was wondering what were the different trends across consumer nationalities. I mean is it mainly driven by the Chinese, like is the case at your other peers? Or do you see also more traction from Western countries? And then, at NIVEA, so continuing on the slowdown we have seen, ex the LatAm effect, was the slowdown across all markets or I mean some weakening trends in some countries? Or it was very specific to some categories or other markets?
Stefan Heidenreich: Good. Tackling the second one again, probably to add a little bit more detail because I got the question now the third time. Deo is by far the biggest category we have at NIVEA. And when you do a major relaunch like we have done, that puts a month out of deo sales out of the system. Now if you put that on top of that, you will see there are very healthy growth of NIVEA. We're relaunching now with the new design. There is no slowdown at NIVEA, point. The other question was on La Prairie, whether we see it slowed. Obviously, the regions have different growth rates that is aligned with what the market has known that, in Asia and China, that what we have seen proportionately the same growth rate, and which is very pleasing in Europe, the Americas, throughout the world. So that is very, very pleasing, and it's growing very good. Another point, which you didn't ask, but this I think is also important to acknowledge is we started 2012 with the Blue agenda, highly successful, as you all know. And we added in 2016 the Blue & Beyond. And Beyond was exactly what we said, that we're going to focus more on the La Prairie, Eucerin and Hansaplast business. If you add this all together, you come to growth rate of the Beyond part of over 20% in the Q1. So we're very pleased at the moment that also that strategic link is now more and more getting traction and acceleration.
Jens Geissler: Okay, the next question please.
Operator: The next question comes from the line of Ian Wood of Redburn. Please go ahead.
Ian Wood: Good morning, all. Thanks for taking my question today. Just one from me, I am curious to hear a little bit more about the innovations, which you flagged coming in the second quarter and maybe through the remainder of the year. I know you've talked about it being tough to take pricing in Western Europe. And I wondered whether these innovations, where they would fall by category and whether they would be accretive to your pricing.
Stefan Heidenreich: Well, I mean, again, the first answer is very short. We never talk about innovations what's coming. What I can tell you is that for the pipeline, and we also anticipated it, that we have to do in this or that area more. We're doing this, this year, success to be seen. And you can be also sure, as Jesper said, wherever we have a chance to take price, we will take price. But it has become a lot more difficult to take price than it used to be.
Jens Geissler: Okay. So next question please.
Operator: The next question would be from Alicia Forry of Investec. Please go ahead.
Alicia Forry: Hi, good morning. Just coming back to this adhesive sort of forecast growth to moderate over the rest of the year, I just wonder if we could talk a bit more about why the Americas was so strong in Q1. I mean, it's a lot stronger than it has historically been. And appreciate you mentioned autos being a strong category, but perhaps if we could just delve into what happened there and how you expect that to sort of develop over the balance of the year. And then, secondly, not trying to harp on the fact that the healthcare brands were a bit weak. I appreciate that there are some tough comps there, but just curious about the underlying demand for that category since we have seen some other sort of OTC healthcare companies slowing, seeing their growth rates slow down. So just if you have any comments on that that would be interesting?
Jesper Andersen: Yes. So let me start with Tesa. I think the Americas development, and let's call it even the automotive around the world, because the automotive is obviously not only Americas, it's also Europe and Asia that's - we've been very successful, is a development that has been going on for a period of time. So this is the success of Tesa and a continuation of winning orders and improving our operations, in particular, winning orders in the automotive. And so that's the consequence of what we've seen in Q1, and we are very pleased with that development, and it's really a success based on long-term development.
Stefan Heidenreich: Yes. On healthcare, it's absolutely true that it's the only segment, I think, which didn't grew in the first quarter. It is lucky enough the smallest segment, but that was also a little bit anticipated because the major innovation the healthcare business are coming Q2, Q3. We've seen how successful they are. So I still also believe a growth above 5% for healthcare for the remainder of the year.
Jens Geissler: Okay. Next please.
Operator: The next question comes from the line of Celine Pannuti of JPMorgan.
Celine Pannuti: Yes, good morning. And I have two questions. My first question is on the announcement that was made at the - for the appointment of the new CFO. Your chairman talked about the core Beiersdorf superior skin care for everybody. I just wanted to understand because that was the first time I read that. If you could give us a bit more background behind that. And the second question is on Western Europe. We saw clear acceleration in the quarter. What would - I mean, I presume this is due to La Prairie growth. And if that's correct, could you give us the number - the growth that you did in retail in Western Europe?
Jens Geissler: The first question was around the [indiscernible] announcement?
Stefan Heidenreich: The assignment of our Supervisory Board President?
Jens Geissler: Celine, could you repeat the first question, please, around the CFO?
Celine Pannuti: Yes. In the announcement, your Chairman talked about the core Beiersdorf being superior skin care for everybody. I just wanted to know what - because it was the first time I read that, the first from your Chairman, so if you could give us a bit more background in terms of this being a new direction for the company.
Stefan Heidenreich: Well, there is no new direction. That is in the first sentence of the Blue agenda, so I don't have to add much to that. I mean that was always stated that we are number 1 skin care company, and so I think he means that. And if not, I have to check it with him.
Jens Geissler: Okay. And then, we have the Western Europe.
Stefan Heidenreich: Western Europe was different retail levels or different countries or different sectors, or what did she ask exactly?
Jesper Andersen: Get it. It's the acceleration in Western Europe, and that is a part of that La Prairie, and do we see anything on the retail? That was the question as I understood it.
Stefan Heidenreich: So, of course, part of it is La Prairie, which also is proportionately doing very well. And - but we have also - when I compare that to my competitors, and you see the market shares, we're doing very well in Western Europe, yes.
Jesper Andersen: Yes. And we, as everybody, we see a number of Western European countries doing very well. And then we see a few that is still challenging. I think we see the same development in other companies.
Jens Geissler: Yes. And we are also seeing that there are in the statement talking about France being a slower, and that has been the case for some time now other countries then compensating. So it's a mixed bag, again, in Western Europe as it has been for some time already. Could we get next question please.
Operator: Of course, the next question is from the line of [indiscernible].
Unidentified Analyst: Hello, gentlemen, just one question and congratulations to the strong growth numbers. First of all, looking into the composition of your numbers, your highest gross margin brand performing extraordinarily strong and a strong organic growth in your highest margin region? Is there anything which would not lead to a very strong EBIT margin leverage in Q1, and presumably, also the first half of the year? Didn't sound like that, but just to make that sure.
Stefan Heidenreich: Yes. Well, I think that, overall, as Jesper said, we are not showing our trousers in Q1 for the rest of the years. We are waiting always before we go into the Q2. The forecast [indiscernible], then we see how things are. I think, on La Prairie, I mean, it's a very smart comment. Clearly, La Prairie is margin accretive that is clear. But also, not to the extent, I'm just warning, it is not as margin accretive as we have with our competitors just simply because it's a standalone business, but it's definitely above margin average of our group. However, we have also seen lately some increases in material where we also very closely monitor the trends on aluminum, oil, et cetera, et cetera. And that has to be seen how that falls out by the end of the year. I think, to all of that margin profitability, you can add a lot of more color in the half year call. But at that stage, we remain where we are.
Jesper Andersen: Yes. I think that's - we're maintaining the guidance at the moment. But we are seeing headwinds in costs, as Stefan mentioned. Also, exchange rates are obviously going against us. So there is a few other trends out there, and we're going to see how that plays out. We obviously carry on with our long-term efficiency program in order to mitigate our - the margin challenges that we have, and we're very confident in how that program is continuing.
Unidentified Analyst: Thanks, all the best of you Jesper.
Jesper Andersen: Thank you very much.
Operator: We have a follow-up question from Gian-Marco Werro of MainFirst. Please go ahead.
Gian-Marco Werro: Hi, good day. So my question is regarding Eucerin and Aquaphor. And acceleration in this brand is also very interesting, and I want to ask if it's sustainable and if you can also give some more light on the development in the USA. And then, maybe also on the region Africa, Asia and Australia and which of these countries or which of the countries there besides China were the strongest performing countries? And where did you experience the strongest FX headwinds? Thank you.
Stefan Heidenreich: Yes. I think on the whole side of La Prairie, healthcare and derma, it is worth to mention that the addition of Vincent Warnery as a permanent executive board member added a lot to the party. Vincent comes from the derma field. And I think over 8% growth is a clear statement that it is growing. The more pleasing is that we've seen it particularly in our major markets, which was very good, which is the U.S., which is Germany and parts of Asia. There's a lot to come, so we have that as a strategic focus over the years to come. And I think that, yes, we expect that. I was particularly - you see the numbers. North America is a mix of Eucerin, Aquaphor and NIVEA. That has done particularly well particularly Aquaphor is blooming, with growth - double-digit growth rates not only in this year, also already last year, very pleased with that development. Now we're coming into the low season, right, the low season is always the summer, and then we are entering back in September, October with the winter season. A lot of innovations also there coming. So that's why the U.S. was pretty good. You also know that Eucerin, Aquaphor are 60%, 70% of the business. The rest is NIVEA, but also, NIVEA, with the body business, had a very good year to start. So the U.S. starting with over 8%, we're very pleased with that.
Jesper Andersen: Yes. On the FX, we don't really go into the individual ones. But obviously, you could expect the Brazil's; the Russia's; the Turkey's are all those currencies that are impacting us. I think maybe, just here on one of the last questions gives me a chance to just step in and say, of course, Stefan mentioned that this is my last call. I just wanted to take the opportunity to also thank everybody in the investor community for the open and constructive discussions that we've had over the last couple of years. It's been a great experience for me to be part of the Beiersdorf group, working together with Stefan, the partnership with Stefan and the executive board has been excellent. And I think we have made some real progress in driving both the top and the bottom line in the last couple of years.
Stefan Heidenreich: Yes. Thank you, Jesper. All being said, so we wish you all the best for your new career.
Jesper Andersen: Thank you.
Stefan Heidenreich: And yes, nothing more to add from my side. No, clear. We have definitely a couple of farewells coming, right? And yes, and then this is how life is sometimes. Yes.